Operator: Good morning, everyone, and welcome to the Lowe's Companies' Fourth Quarter 2012 Earnings Conference Call. This call is being recorded. [Operator Instructions]
 Statements made during this call will include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Management's expectations and opinions reflected in those statements are subject to risks, and the company can give no assurance that they will prove to be correct. Those risks are described in the company's earnings release and in its filings with the Securities and Exchange Commission.
 Also, during this call, management will be using certain non-GAAP financial measures. You can find a reconciliation to the most directly comparable GAAP financial measures and other information about them posted on Lowe's Investor Relations website under Investor Documents.
 Hosting today's conference will be Mr. Robert Niblock, Chairman, President and Chief Executive Officer; Mr. Greg Bridgeford, Chief Customer Officer; and Mr. Bob Hull, Chief Financial Officer. 
 I will now turn the program over to Mr. Niblock for opening remarks. Please go ahead, sir. 
Robert Niblock: Good morning, and thanks for your interest in Lowe's. Following my remarks, Greg Bridgeford will review our operational performance, and Bob Hull will review our financial results in detail. But first, I'll provide some highlights of the quarter, as well as our view on the economic landscape in 2013. 
 We delivered solid results in the fourth quarter. Comparable store sales were positive 1.9%, driven by an increase in comp average ticket. We delivered these results despite tough prior year comparisons from both unseasonably warm weather and a more promotional holiday season. In fact, 10 of 14 product categories had positive comps for the quarter. We had strength in core categories like plumbing and hardware, as well as holiday items like tool gift sets and holiday decor. We had consistent performance across the U.S. operating divisions and continued to see strength in our ProServices business, which outperformed the company average. 
 Gross margin expanded 5 basis points in the fourth quarter, driven by a number of factors that Bob will discuss, including continued benefits from our Value Improvement program. We continue to effectively control operating expenses in the quarter and delivered earnings per share of $0.26 for the quarter and $1.69 for the year. Delivering on our commitment to return excess cash to shareholders, in the fourth quarter, we repurchased $750 million or 21.3 million shares of stock and paid $180 million in dividends. For the year, we repurchased $4.35 billion or 146 million shares of stock and paid $704 million in dividends. 
 Our solid fourth quarter results are a testament to several factors: first, the team's success in driving more balanced performance across the quarter; second, the team responded well to the demand created in the Northeast as a result of recovery efforts in the wake of superstorm Sandy; and finally, the momentum we're creating with Value Improvement through better line designs, better in-stock positions and simplified deal structures, as well as the momentum from our product differentiation program. As we've discussed, think of Value Improvement as the inner circle, enhancing the core, and product differentiation as the outer circle, driving excitement and flexibility in our stores. 
 Incorporating this quarter's solid results, 92% of our U.S. stores qualified for a Service and Sales Employee Incentive, or SSEI, payment during 2012, making this a record payout year. As a reminder, SSEI is our profit-sharing program for hourly associates. I'd like to thank our more than 257,000 employees in the field and our corporate office for their perseverance in a year of significant change and for their continued dedication to serving customers. 
 As we head into fiscal 2013, the team continues to focus on improving our core business through cross-functional collaboration and consistent execution. We'll complete the initial round of Value Improvement resets in 2013, and we'll add labor hours to our stores, as well as incremental inventory, all with a focus on improving our close rate. 
 From an economic perspective, lower GDP growth is forecasted for 2013. And while lower home improvement industry growth is also forecasted, it is expected to keep pace with GDP. Rebuilding in the wake of superstorm Sandy will contribute to 2013 home improvement industry growth, although the impact will fade during the year. Still, the fundamental's underlying drivers of industry growth, mainly job gains and stable growing housing, should support a strengthening growth trajectory for the industry. Yet, credit conditions remain tight for borrowers, and mortgage delinquencies remain elevated, which will restrain the speed in which housing and, therefore, the home improvement industry can grow. 
 Those macroeconomic data points are reading through to our fourth quarter consumer sentiment survey. According to the survey, home value perception ratings are the strongest they have been in 4 years, and we continue to see positive trends emerging in other home improvement affinity metrics. However, there are still concerns. Survey participants that are delaying home improvement projects cited lack of income growth and a reluctance to use financing as the primary drivers influencing their decision. 
 The macroeconomic transition from recovery to sustainable expansion, together with our initiatives in improving operational collaboration, give us confidence in our business outlook for 2013. Bob will share those details in a few minutes. 
 Thanks again for your interest, and I'll now turn it over to Greg. 
Gregory Bridgeford: Thanks, Robert. Good morning, everyone. I'd like to dive a little deeper into our quarterly results, update you on the progress of the Value Improvement focused area and discuss our priorities for 2013. 
 In previous quarters, I emphasized our focus on driving improved results over the short and midterm. So I'm pleased that we delivered solid, more balanced comp sales performance across the quarter despite a difficult comparison to prior year. This quarter's results were driven by enhanced promotional planning and execution, our response to increased demand from superstorm Sandy, continued benefit from product differentiation and further benefit from Value Improvement. 
 We started with a disciplined promotional strategy as we offered targeted values on specific items to drive sales and profitability throughout the quarter, rather than blanket promotions across entire categories. Targeted promotions drove above-average performances in cabinets and countertops and in core home improvement categories, such as tools and outdoor power equipment. 
 Sandy also benefited the quarter. As we discussed during third quarter call, most major storms have 4 distinct phases: first, preparation; second, impact; third, cleanup; and fourth, recovery. The cleanup from Sandy began soon after impact at the end of the third quarter and continued well into the fourth quarter. Recovery began in the fourth quarter and will extend into 2013. 
 While the storm initially impacted the operating hours of over 140 stores, approximately 27 stores have seen a prolonged surge in demand as they meet the recovery needs of the most severely impacted communities. We estimate that sales associated with Sandy recovery efforts aided fourth quarter comps by approximately 70 basis points. 
 While rebuilding from Sandy-benefited comps, our comp performance for the quarter was well balanced across the country. Performance was particularly strong in the Gulf regions, from Texas to Florida and in the northwest, as we responded well to increasing demand in those recovering markets. 
 We also benefited from our product differentiation resets, which were rolled to approximately 1,250 of our stores last year. Through product differentiation, we have revised our endcap locations to highlight innovative new products and significant values and to showcase particular private and national brands. 
 We've also revamped promotional spaces to better promote seasonally relevant high-value items to drive sales. These endcap and promotional spaces continue to outperform the other areas of the store, and these stores outperform the remaining U.S. stores. For example, we use the promotional spaces to showcase storage products after the holidays and to display cleaning products, driving strong comps in those lines. We'll be rolling this concept to approximately 160 more stores in 2013. 
 While product differentiation is being operationalized, the Value Improvement program remains our most immediate priority. Through this initiative, we are improving our line designs, making them more relevant to each of the markets we serve, easier for consumers to shop and more efficient for our associates to maintain. This includes reducing duplication of features and functions within price points and reinvesting inventory in key high-velocity items customers expect us to have in stock, including job lot quantities needed to complete large projects. 
 We are also working to lower unit costs by negotiating lower first cost and reducing funds set aside by vendors for promotional and marketing support. We use line reviews and resets to achieve these goals. During line reviews, we use consumer insights to determine what products to carry and which vendors to buy from, and then we bring the new assortments and presentations to life in our stores through the reset process. 
 We've not scheduled our line reviews to front-load their benefit. Instead, we consider a number of factors in determining the sequence of line reviews, including the seasonality of the product, the time elapsed since a given product line was last reviewed, whether the associated merchant teams and vendors are already involved in other line reviews and the interdependencies between lines. For instance, we need to determine what faucet finishes we will sell prior to determining our fashion hardware finishes. 
 We are making progress. At the end of the fiscal year, we had completed line reviews representing approximately 80% of our business and resets representing over 30% of our business. We expect to have finished the initial round of resets in 2013. 
 We continue to adjust the pace of these resets to ensure that customer's experience is not negatively impacted, that we continue to offer sufficient inventory by store and by set and that we minimize the margin impact of clearance and the friction experienced by store operators. The benefits we are seeing from these resets give us confidence that this is the right approach. 
 As I mentioned last quarter, the financial benefit of Value Improvement is greatest once we are past clearance and it begun selling only new assortments. For product lines in that stage, we recorded average mid-single-digits comps and over 100 basis point improvement in gross margin rate. And our customer surveys indicate that the perception of our product availability has improved over the fourth quarter of last year. 
 In fact, in the fourth quarter, we recorded strong seasonal living performance, which was driven by holiday decor sales, as we used our clustering tools to better tailor assortments to individual stores. Likewise, a number of the product lines within the plumbing category, from air filters to toilets, have completed their Value Improvement resets, and we are seeing strong comp performance in this category. 
 Value Improvement will remain the primary focus of the organization in 2013. Even as we are working through our first round of product line reviews and resets, the Value Improvement process changes are being operationalized. We believe we will continue to find ways to improve product lines and, likewise, close rate by making them more relevant for each store location and offering better features, quality and style relative to price, by putting more inventory behind the highest volume SKUs and, ultimately, increasing in-store service level targets across entire product lines as they are reset. 
 We've also had the opportunity to improve close rate through additional labor hours. In 2013, we will add approximately 150 hours per week to the staffing model for nearly 2/3 of our stores. Previously, weekday labor hours were heavily skewed towards tasking, and we've identified an opportunity to better serve customers and close more sales during the peak weekday hours by increasing the assistance available in the aisles. 
 We've already started hiring these permanent part-time employees. We believe the increased labor hours and higher in-stock service levels will help us capitalize on the traffic that we have in our stores today, resulting in close rate improvement. 
 But finally, I am pleased to welcome Mike Jones to Lowe's. Mike has joined the team as our Chief Merchandising Officer. We took our time and recruited a very talented executive to our organization. Mike has extensive consumer products experience with both Husqvarna and GE, where he managed categories that are relevant to the home improvement business, including appliances, outdoor power equipment and lighting. 
 He brings a proven ability to uncover value at all points in the supply chain, from raw materials to finished product, additional value that can enhance profitability for both Lowe's and our vendors. His experience in leading businesses, as well as identifying and pursuing market opportunities, make him an outstanding fit for this position. 
 Mike will be responsible for the merchandising offering of all Lowe's U.S. selling channels, as well as all global sourcing activities. He will work closely with leaders of customer experience design, marketing, operations and logistics to develop and deliver differentiating and seamless customer experiences. Bob Gfeller's experienced design organization will use consumer insights to identify opportunities, and Mike's team will develop specific merchandising programs to meet those opportunities with a particular focus on the breadth and depth of our assortments needed to support customer experiences. 
 While Mike will no doubt put his stamp on our merchandising organization processes, he is committed to the goals of our Value Improvement initiative and to fully operationalize it as we complete the first round of resets in 2013. He will work to optimize our merchandising processes, applying more rigor and process management and improve effectiveness. I'm personally excited about Mike's arrival, and I look forward to the progress our merchandising organization will make under his leadership. 
 Thank you for your interest in Lowe's, and I'll now turn it over to Bob. 
Robert Hull: Thanks, Greg. Good morning, everyone. Sales for the fourth quarter were $11 billion, which represents a 5% decrease from last year's fourth quarter. In Q4, total transaction count decreased by 6.9% while total average ticket increased 2.1% to $62.37. The sales and customer count declines were driven by comparisons to 2011's 53rd week, partially offset by comp sales and new stores. 
 As mentioned in the third quarter call, 2011's 53rd-week year impacts the fourth quarter in 2 ways. First, the extra week in 2011's fourth quarter contributed $766 million in sales. This negatively impacted sales growth by 6.7%. Second, last year's extra week caused a counter week shift this year. We estimate that this negative impact to Q4 2012 was $119 million or 1.1%. On a comparable 13-week basis, sales would be up 2.8% for the quarter. 
 Comp sales were 1.9% for the quarter, which is driven by continued progress against our initiatives, lumber inflation and the net impact of weather. We estimate that our Value Improvement and product differentiation initiatives drove approximately 100 basis points of comp for the quarter. Also, our proprietary credit value proposition, which offers customers a choice of 5%-off every day or promotional financing, positively impacted Q4 comps by 40 basis points. Lumber inflation aided comps by approximately 50 basis points. 
 Now to weather. In estimating the impact of weather, we looked at 2 items. First, we reviewed actual temperature and precipitation versus historical averages. Second, we attempted to isolate the impact of storm activity. As you might suspect, this is not an exact science. 
 Last year, we noted that the favorable weather aided Q4 2011 comps by 150 basis points. And providing our outlook for this year's fourth quarter, we had assumed normal weather. However, weather this year was slightly warmer than normal, alleviating some of the headwind from last year, resulting in an estimated 40 basis point comp drag. 
 Moving on to storm impacts. As Greg mentioned, we estimate that sales related to rebuilding in markets impacted by Sandy positively impacted Q4 comps by approximately 70 basis points. We also continue to see modest positive impact from Isaac. These were offset slightly by Hurricane Irene comparisons and last year's numbers for a net estimated favorable storm impact of 45 basis points. In total, the net impact of weather had a modest positive impact on Q4 comps. 
 For the quarter, comp average ticket increased 2.1% while comp transactions decreased 0.1%. The growth in average ticket was driven by both lumber inflation and strength in cabinets and countertops. Looking at monthly trends, comps were flat in November and 3% for December and January. 
 With regard to product categories, the categories that performed above average in the fourth quarter included lumber, cabinets and countertops, seasonal living, plumbing, tools and outdoor power equipment and home fashion, storage and cleaning. Lawn and garden and fashion electrical performed at approximately the overall corporate average. 
 For the year, total sales were $50.5 billion, an increase of 0.6%. On a comparable 52-week basis, sales were up 2.2%. The comps were 1.4% for the year. The balance of the sales increase came from new stores. For 2012, comp average ticket increased 0.9%, and comp transactions increased 0.5%. 
 For the year, the categories that performed above average included lumber, tools and outdoor power equipment, paint, seasonal living, cabinets and countertops and home fashions, storage and cleaning. Fashion electrical, hardware, flooring and plumbing performed at approximately the overall corporate average. 
 Gross margin for the fourth quarter was 34.27% of sales, an increase of 5 basis points over last year's fourth quarter. Value Improvement helped gross margin by approximately 30 basis points in the quarter. As we begin the sell-through of new product lines post reset, we will continue to see benefit in gross margin. 
 However, the Value Improvement benefit was almost completely offset by the following items. A proprietary credit value proposition negatively impacted gross margin by 15 basis points, as the penetration of proprietary credit increased roughly 160 basis points over last year's fourth quarter to 24.9% of sales. In addition, we had modest negative impacts from mix of products sold and inventory shrink. 
 For the year, gross margin of 34.3% represents the decrease of 26 basis points from fiscal 2011. SG&A for Q4 was 25.43% of sales, which leveraged 45 basis points. The SG&A leverage was driven by comparisons to last year's charges for impairment in discontinued projects, as well as proprietary credit and risk insurance. 
 In the last year's fourth quarter, we incurred $53 million in expenses for store closings, asset impairments and discontinued projects. This compares to $8 million for asset impairment and discontinued projects this year, resulting in 39 basis points of expense leverage for the quarter. 
 We experienced 34 basis points of leverage associated with our proprietary credit program. This leverage was driven by portfolio income, the result of continued growth in the program. Risk insurance leveraged 28 basis points due to lower-than-expected expenses for general liability and workers' compensation programs. These items were slightly offset by deleverage in incentive compensation and advertising expenses, as well as comparisons to last year's 14-week fiscal fourth quarter. 
 Incentive compensation deleveraged 33 basis points related to 2 store programs. Our sales and earnings performance was better than expected, resulting in improved attainment levels for the store management bonus and Service and Sales Employee Incentive programs. Advertising deleveraged 13 basis points due to the timing of -- due to timing and the launch of lowe's.ca in Canada. 
 Also, we experienced approximately 20 basis points of SG&A deleverage in the quarter as a result of Q4 2011's extra week. For the year, SG&A was 24.24% of sales and leveraged 84 basis points versus 2011. 
 Depreciation expense was $412 million for the quarter, which was 3.73% of sales and deleveraged 44 basis points. The majority of the deleverage was driven by comparisons to last week -- last year's 14-week fiscal fourth quarter and the week shift impact this year. In addition, we continue to invest in information technology, which has a shorter depreciable life relative to our average asset base. 
 Earnings before interest and taxes for the quarter increased 6 basis points to 5.11% of sales. For the year, EBIT of 7.05% represents an increase of 52 basis points over 2011. Interest expense at $109 billion for the quarter deleveraged 11 basis points as a percentage of sales. The increase in interest was attributable to an almost $1.4 billion increase in total debt relative to last year. For the quarter, total expenses were 30.15% of sales and deleveraged 10 basis points. 
 Pretax earnings for the quarter were 4.12% of sales. The effective tax rate for the quarter was 36.7% versus 33.6% for Q4 last year. For the year, the effective tax rate was 37.6% compared to 36.7% for 2011. Last year's lower tax rate was a result of federal and state tax credits. 
 Q4 net earnings of $288 million decreased 11% versus last year. Earnings per share of $0.26 for the fourth quarter were flat to last year. We estimate that last year's extra week and the lower tax rate aided Q4 2011 by approximately $0.05 and $0.01 per share, respectively. These items were offset somewhat by a net $0.02 per share impact associated with charges for asset impairments and discontinued projects. Also, we estimate that the week shift negatively impacted 2012's fourth quarter by approximately $0.02 per share. For fiscal 2012, earnings per share were $1.69, up 18% versus 2011. 
 Now to a few items in the balance sheet starting with assets. Cash and cash equivalents balance at the end of the quarter was $541 million. Our ending inventory balance of $8.6 billion was up $245 million or 2.9% over last year. The increase was driven primarily by the timing of receipt of spring orders. Inventory turnover, calculated by taking of trailing 4 quarters cost of sales divided by average inventory for the last 5 quarters, was 3.74, an increase of 2 basis points over Q4 2011. Return on assets, determined using a trailing 4 quarters earnings divided by average assets for the last 5 quarters, increased 31 basis points to 5.68%. 
 Moving on to liability section of the balance sheet. We ended the quarter with accounts payable of $4.7 billion, which is up 7% to last year. The increase in accounts payable relates to the timing of purchases. At the end of the fourth quarter, our lease adjusted debt to EBITDA was 2.17x. Return on invested capital, measuring using the trailing 4 quarters earnings plus tax adjusted interest divided by average debt and equity for the last 5 quarters, increased 62 basis points for the quarter to 9.29%. 
 Now looking at the statement of cash flows. For the year, cash flow from operations was almost $3.8 billion. Cash used in property acquired was $1.2 billion, resulting in free cash flow of almost $2.6 billion. 
 For the quarter, we repurchased 21.3 million shares at an average price of $35.19 for a total repurchase amount of $750 million. For the year, we repurchased almost 146 million shares at an average price of $29.86 for a total of $4.35 billion. I'm pleased to announce that our board has approved a new $5 billion share repurchase authorization while simultaneously terminating the prior program. The new authorization has no expiration date. 
 Looking ahead, I'd like to address several of the items detailed in Lowe's business outlook. In 2013, we expect a total sales increase of approximately 4%, driven by a comp sales increase of 3.5% and the opening of approximately 10 stores. For the fiscal year, we are anticipating an EBIT increase of approximately 60 basis points. 
 Let me share 3 cost pressures in our 2013 plan, which, together, cause approximately 30 basis points of SG&A deleverage, roughly 10 basis points each. First, as you heard from Greg, we're investing additional payroll hours in the majority of our stores, which causes payroll expense deleverage. Second, the volume of recent activity associated with Value Improvement is higher in 2013 relative to 2012, driving higher reset expense. Lastly, we experienced some favorability in 2012 related to our self-insurance liability for risk insurance. We haven't planned to similar favorability in 2013. As a result, we expect that the majority of the improvement in EBIT will come from gross margin. 
 The effective tax rate is expected to be 38.1%, which is roughly 0.5% higher than 2012, resulting in an earnings per share drag of approximately $0.01. For the year, we expect earnings per share of $2.05, which represents an increase of 21% over 2012. 
 We were forecasting cash flows from operations to be approximately $4.2 billion. Our capital plan for 2013 is approximately $1.2 billion. This results in estimated free cash flow of $3 billion for 2013, which represents an 18% increase over 2012. Our guidance assumes approximately $4 billion in share repurchases for 2013, spread evenly across the 4 quarters. 
 Before taking your questions, I wanted to cover one administrative item. We recently reviewed the timing of our earnings releases, which included benchmarking with a retail peer group the time between period end and release date, as well as the day of the week. As a result of this review, we've made a decision to move our release date from Monday to Wednesday of the same week. Therefore, our first quarter results will be released on Wednesday, May 22, and the rest of the year will follow suit. 
 Regina, we're now ready for questions. 
Operator: [Operator Instructions] Our first question will come from the line of Eric Bosshard with Cleveland Research. 
Eric Bosshard: On gross margin, can you talk a little bit about -- it seems like you've got a pretty bullish expectation for gross margin progress in '13. Curious in terms of what's driving that. And then also gross margin was, I think, a bit of a source of upside in 3Q that didn't continue in 4Q. Can you give us a little bit more color within that, please? 
Robert Hull: Sure, Eric, I'll start and let Greg chime in. So we did experience good progress in Q4 in gross margin relative to Value Improvement, as I said in my comments. It helped by 30 basis points. As we talked about the progress in the resets, Greg mentioned just over 30% done through end of 2012, which means we've got the other 70-or-so percent to take place in 2013. That's really gives us some confidence in gross margin expansion to 2013 is the benefit associated with the remaining resets from the Value Improvement program. 
Gregory Bridgeford: Yes. And, Eric, I'll add to Bob's comments, as he mentioned, the -- we expect the impact of it to increase sequentially as the quarters roll out to 2013. Also, we're -- we are -- and we've seen results in the fourth quarter. We're seeing a much better balance in our promotional activity. So as we discussed in the first half of last year, we had some weakness in our attachment rate, particularly in the lawn and garden part of the season. And we're addressing that this year, and we have solid plans in place. And then when you think about the impact of this -- what I call the center of the store and being able to get a really good traction with some of the categories that had to carry high margin, such as rough plumbing, rough electrical, hardware, we're increasing -- as I discussed, we're increasing the -- both the devotion of hours to those categories in the first quarter. And we're also increasing the investment of inventory to increased service levels of all those categories. So expect that to be a positive impact. On the fourth quarter performance, as Bob mentioned, we experienced a 14 basis point impact from the impact of val prop. We also saw a high single-digit impact from the mix shift, because you did see strong performance in categories like lumber and cabinets and countertops, which are below corporate average. So when you look at that and you recognize we were 5 basis points over last year, I think that's the bulk of the impacts in the fourth quarter. 
Eric Bosshard: And if I could just follow up on the balance of the resets, what have you learned in the first 30% that as you get to the next 70% that is evolving within the reset effort? 
Gregory Bridgeford: I think, Eric, what we've learned is to be able to manage the inbound inventory much, much more tighter on a per-store basis. So weekly, our general merchandise managers sit down with Rick Damron, SVP of Operations, and they literally make the call on every reset that is triggered to roll out per store, looking at all the indicators of whether the on-hand inventory -- how many weeks of on-hand inventory we have, what are the sales rate for this category per store, is the signage -- what's the readiness of the signage package, what's the readiness of the inventory backup flows, what's the readiness of the display factors that we have going into this reset, what's the readiness of the labor that's necessary to address this reset. All indicators go, we go green. And it's been really, really critical that we do that in order to maintain a reasonable cadence of clearance, and especially -- and especially and I can't emphasize this enough, especially to be able to execute on a strong customer experience. So there's no holes because we waited too long to flow in the inventory or there's not a glut in the aisles of clearance inventory because we flushed in too much too soon. So this cadence issue is really critical to us, and that's what you see, lesson we've learned from the resets we've done so far. 
Operator: Our next question will come from the line of Alan Rifkin with Barclays. 
Alan Rifkin: Just to follow up on the line review and resets. So for the group of stores and for the merchandise categories that have undergone both the reviews and the resets, would you maybe be able to comment on the comp performance in that category, relative to the 100 basis point overall comp that you saw from the implementation of the Value Improvement program? 
Robert Hull: So, Alan, we -- I indicated that we had mid-single-digit comp performance in those categories that have been reset to date, and that is what we're experiencing on the sales side. And then the margin basis point impact was approximately 100 basis points. 
Alan Rifkin: Okay. And a follow-up if I may for Robert. Since, obviously, the macro backdrop is going to be so important in 2013 as the housing environment hopefully continues to improve, when you're looking at your store portfolio and you're looking at some of the markets that enter the housing crisis first and have subsequently come out and rebounded earlier than other parts of the country, what type of performance on a regional basis are you seeing for those specific markets that have come out of the crisis earlier than others? 
Robert Niblock: Well, as we talked, Alan, certainly in Florida, some of the Gulf Coast areas, the coastal areas that were so hot and got hit before the downturn, we're seeing good performance. And on the west coast, some of the areas out there, that we're seeing, obviously, good performance. If you look at areas that had really been overheated prior to the downturn, some areas in Arizona, Las Vegas, in the Nevada market, those areas you're starting to see them come back and then performing at the average. And as we said, I think it was in the comments, good performance out of Florida and continued progress in the California market, so. 
Operator: Our next question will come from the line of Dennis McGill with Zelman & Associates. 
Dennis McGill: I was just curious if you could maybe walk through, as you set the plan for '13, how you built up to the 3.5% comp, and then maybe talk about where you see upside, downside risk both macro, as well as company specific. 
Robert Hull: Sure, Dennis. So a couple of perspectives on the 3.5% comp. First, ticket and traffic, we think it's going to be relatively balanced. Ticket and traffic growth, we think the items that Greg described relating to investments in inventory and payroll, will help with close rates, which will help drive transactions. Also, as it relates to ticket growth, as you mentioned, housing is improving so that just stimulate more demand, hopefully more discretionary spending, as well as some continued benefit from lumber inflation should drive ticket. The other perspective I'll give you is regarding our initiative. So they helped Q4 comps by 100 basis points as we described. More resets occurring in 2013 relative to 2012. As Greg said, another 160 stores get the product differentiation treatment. We're seeing sequential progress and sales from those endcap programs. So we think we've got strength and continued progress with internal initiatives, plus whatever benefit we get from macro and housing. 
Dennis McGill: If you had to bucket those last -- those pieces between internal and macro of the 200 basis point improvement, is there a way to think about the split? 
Robert Hull: So if we think about the 3.5% comp, I would say that a healthy 3-or-so percent, that's coming from internal. 
Dennis McGill: Okay. And then a separate question. Can you just update us on where the Australian joint venture investments sits today, both from a cash outflow perspective, as well as how you think the P&L will be impacted as you move into '13 and beyond? 
Robert Niblock: Yes. I'll just make a few overview comments, Dennis, and I'll let Bob get into some of the numbers. The 25 stores opened in Australia, we're pleased with the performance of those store openings. Their year end is June. I think we have about another 6 stores that'll open between now and the end of June. So in less than 2 years, 31 stores opened in the joint venture. We feel really good about the way that the -- that joint venture is ramping, the quality of the people that they're able to get in and hire in the stores, the experience that they're delivering. And then they're continuing to learn and make necessary adjustments along the way. That is one thing I'm really impressed with is how quickly when -- is they're adjusting to the market and making the necessary changes. So I feel good about it. It's another couple of years before they'll get into a profitable stage, but I'll let Bob take you through some of the detailed numbers on that, so. 
Robert Hull: Sure. We've got through the end of 2012, just over $0.5 billion invested in the joint venture. 2012, it was a modest earnings drag. We expect, as Robert said, to migrate to a breakeven in 2015, 2016. So it'll be a modest earnings drag in 2013 was well. 
Operator: Our next question will come from the line of Brian Nagel with Oppenheimer. 
Brian Nagel: First, a question on the buybacks. So the new $5 billion buyback you articulated in today's press release, you indicated that -- so there's no -- I guess no end date, but you expect to do over 2 years. So how should we think about -- and I don't want to sound too nitpicky here. But you're doing $5 billion over 2 years, so that would suggest a slowdown from how -- the pace at which you've been buying back stock lately. I mean, how should we think about that? 
Robert Hull: So in the outlook section of my comments, Brian, I said we expect about $4 billion for the year, with roughly $1 billion per quarter, which is in line with what we signaled at the analyst conference in December, that the 2-year commentary in the press release really just suggests it's not all going to be done in 2013. 
Brian Nagel: Got it. Okay, okay, okay. That makes perfect sense then. Sorry if I missed. And then the second question again, not sounding nitpicky here, but when you're looking at the re-merchandising and the resets, I mean, it sounds to me given -- versus the commentary you made at the analyst day, it seems like the progress has slowed down a bit. I think we initially planned to have all the line reviews completed by the end of '12, and now you said 80%. So first though, the question is, is that right? And then if so, is there a reason behind that and how should we think about the progress, the timing of the progress through 2013? 
Gregory Bridgeford: Brian, this is Greg Bridgeford. And, yes, I would say that it has slowed down, but purposefully. It is a -- it's a conscious decision we made. And here are the priorities -- and you could fault me for not forecasting accurately enough, the probabilities that this might happen, but here's our priorities. First is the customer experience in the aisles. So as I described, the cadence will really determine what that feels like when a customer encounters a newly reset category or a category in reset in each of our stores. And second is the employee labor cost and distraction. If we don't execute a reset thoroughly, and we call it one-touch resets, and then believe me, we weren't at first, then we cause a lot of rework. And the probability is that in the crunch of the spring season at Lowe's, that rework won't get done. So you'll have an incomplete reset, and we don't want to cause that kind of additional potential costs from the labor standpoint or the distraction that it causes in the store. And the third is the financial impact. If we don't manage the cadence properly, believe me, we'll be generating much more clearance, which will show up in, obviously, in the -- in margin degradation across the quarter. So we're -- those are our 3 priorities, and that's what drives the cadencing of these resets. We're -- as we've gone -- as we made progress, obviously, we're being, I think, more realistic by saying we had a -- the majority of the remaining resets will obviously be done in the earlier part of 2013, but they will flow into the second half of 2013 no doubt. But again, it's -- we're making a management decisions, as I mentioned, when -- with Eric's questions, weekly to make sure that we create that good experience for the customer. We don't incur additional cost and that we manage the financial impact of the clearance items in the categories. 
Operator: Our next question will come from the line of David Strasser with Janney Capital Markets. 
David Strasser: You guys talked about some of the strengths, things that drove the benefits of the business in the fourth quarter. We were just kind of going back and looking over the last couple of quarters, and it seemed in the fourth quarter in each of the last -- going back to 2010, you saw an acceleration of sales on a 2-year basis, on 1-year basis. It was the strongest sales quarter also at the expense of, generally, the most gross margin degradation. And it seemed to be a trend the last couple of years. I'm just trying to get a sense, seasonally, if anything is changing in your business that's driving the better sales productivity potential at the expense of the margin side. 
Robert Niblock: Dave, this is Robert, I'll start and let the others jump in. I think what you highlighted was if you go back over the prior couple of years, yes, we saw a good performance, but you saw the margin degradation because we -- actually, we got into, particularly last year, very heavy promotional cadence with deep promotions that didn't pan out the way that we'd hope, not enough add-on sales. So it drove some top line but it gave away too much margin. And that's what I said in my comments that when pressed about going up against that heavier promotional activity from the prior year and also, if you remember, it was really favorable weather at the end of the quarter last year, unseasonably mild weather, going up against both of those things, being able to expand the margin, including the other offsets that Bob took you through, and develop a -- and deliver a nice comp on top of last year's strong comp is that's what gives us confidence. So we accomplished those comps in a more balanced way, more balanced across the quarter, more balanced across the product categories and more balanced across the country than what we've seen in the past so. 
Gregory Bridgeford: Yes. And, David, I'll add to Robert's remarks, set a little color. In fiscal '11, we drove a lot of transactions in Black Friday. And this past fourth quarter, we consciously said we want a more balanced approach. And while we gave up some sales on Black Friday, we drove a better customer experience. We drove a much more balanced mix, and we drove attachment rates in the fourth quarter, which was our goal. 
David Strasser: Okay. And just on a side note, too. Just you mentioned -- I think you mentioned during -- at some point during the call, I think, Robert, you did that with Pro business was better than the consumer biz. I just want to make sure I heard that right. And if so, is there a distinction between big Pro versus like the smaller Pro. So just trying to hear any color. 
Robert Hull: Yes. I did mention that, Dave, and we have, for quite a while, seen our Pro business doing well, and running ahead of the overall company average. Rick Damron's in the room. So I'll let him talk a little bit about what he's seeing as far as trends in the large versus smaller Pro business. 
Rick Damron: Yes, David. This is Rick. As you know, we relaunched our ProServices midyear really with a focus on continuing to build relationship across all of our relevant commercial categories and customers. What we saw in Q4 was we saw solid growth in ticket and transaction. We had positive increases in both. And as it relates to all transaction buckets, we saw increases across all transaction buckets, 50 -- transactions that are $50 all the way up to transactions over $10,000, also a positive increases throughout the quarter. So we feel good that we're accomplishing a balance between managing the small maintenance and repair customer, the small local repair business, as well as the larger commercial accounts across the country. So we feel good about the balance approach we're seeing across our ProServices initiative. 
David Strasser: I'll just follow-up with this question, then I'll let somebody else. But of all of those improvements, was one of them a much bigger delta than any of the others, so that's we're thinking into 2013 of the different category buckets? 
Rick Damron: Yes, David, I would say what we're seeing is the actions we've taken over the last several quarters really beginning to pay off. The commercial val prop is really helping us drive increased visits, increased transactions on an ongoing basis by providing great loyalty to the customer. And then as part of Northlake, I think what we're also seeing is Northlake is providing us the ability to showcase commercial product differently than we've done in the past. On our endcaps, you'll see a value messaging to the commercial customer in the Pro business. You'll see us bring contractor pack quantities, which are discounts on certain quantities of products out to the front of the customer and display those better and message those better throughout the store. So I think you're seeing a lot of that really come back. The good thing that we're also seeing that get -- makes me feel good about 2013 is we're seeing that across the country. It's not being driven by one geographical area or one set of stores, whether it be rural or metro. We're seeing a good balance across all of the store base. 
Operator: Our next question will come from the line of Peter Benedict with Robert Baird. 
Peter Benedict: A couple of questions. First, just, Bob, on the operating margin leverage sensitivity of the comps, you laid out which got to this year. The 3-year view that you laid out in December assumes a little bit more than that, not a lot. But just trying to understand as we look out past '13, what are the levers in '14 and '15 that basically will create better flow-through in terms of profitability per point at comp? I mean, you talked about the -- some of the insurance stuff, but just wondering if there's any other buckets there we should be thinking about. 
Robert Hull: Sure. So generally, we talk in terms of each point if comp drives 20 basis points of EBIT. That largely plays out in 2013, absent some of those cost pressures. The reset is temporary. We'll be past the resets in 2013. As we think, beyond 2013, continue to make progress on the top line, which will allow us to leverage all of our operating costs more so in '14 and '15 than we'll see in 2013. We'll make continued progress against gross margin. As Greg described, the cadence of the line reviews is really is about quality versus quantity. So we're trying to make sure the experience is right. We're just going to help us drive both sales and margin productivity. And then obviously, as sales grow, we'll get depreciation leverage as well. So really, it's across all 3 of those lines that help drive operating margin expansion beyond 2015. 
Peter Benedict: That's helpful. And then just secondly on the Affordable Care Act, I mean, can you talk about how it's impacting your hiring decisions this year, if at all? I mean, I know you guys are hiring more people, but is it part-time, full-time decision? And then maybe any thoughts on what the impact could be as we get out into '14 and '15? 
Robert Hull: Yes. So at this point, it really hasn't impacted our hiring decisions. As we think about our business, it's a complement of full-time employees, a complement of part-time, as we announced recently, a complement of seasonal workforce as we enter our peak selling season, which is spring. So no real impact on thoughts of hiring. We continue to evaluate the rules as they are written and the implications to our business. But ultimately, as we think about the individual mandate, it's the perceived value of the state and federal exchanges that are going to drive some level of participation rates in our own program. That's going to determine the cost. So that is yet to be determined, because those exchanges have yet to be set up. So we're continuing to monitor both the development of the exchanges, as well as additional rules that are written. 
Operator: Our next question will come from the line of Laura Champine with Canaccord. 
Laura Champine: My question is really about what Mike Jones is focusing on. You have few initiatives with the store resets accelerating in the middle of the line reviews. I mean, what are his primary focuses, and what does he bring to the table on the merchandising front? 
Gregory Bridgeford: Laura, it's Greg Bridgeford. Well, Mike's been here all 2 weeks, but he actually is stepped right in and is helping to define and to fine-tune the Value Improvement plan. Mike brings with him years of experience in process management from companies that do it the best. And what he's doing is stepping in and taking a hard look at all the processes associated with the Value Improvement program and putting more rigor and more discipline to those programs. I expect he'd love to accelerate it, if at all possible, and it'll be done with all the priorities that I mentioned earlier. It'll be a quality experience for our customer. It will be a -- create leverage on the operating costs line, and certainly the financial impact to clearance will be well managed. But that's just -- that's his first focus area, and Mike's making progress as we speak. He brings a consumer products background from years of Husqvarna and General Electric, and he has both appliances and lighting experience at GE and outdoor power experience at Husqvarna. Mike brings with him a fascination with how value is created all the way from supplier to the customers' hands and a deep knowledge of that. When I said that we look forward to him creating more value for both Lowe's and for our vendor partners, I mean that. And I think that having been through the line review process with Husqvarna, I think Mike knows it very well from an interesting perspective. And I think that as this critical part of our business moves ahead, I think that he'll bring a very balanced and a very disciplined perspective to driving value for the entire supply chain. 
Operator: Our next question will come from the line of Mike Baker with Deutsche Bank. 
Michael Baker: First, just wanted a quick clarification. When you talk about line review areas going through the -- flowing through the reset, does that include getting through all the clearance product? In other words, is the clean number 30% of your product that has gone through, fully through this process, including the clearance? 
Robert Hull: Michael, on the whole, the 30% of product is still has -- there will be clearance inventory in the system as the products are reset. When we say 30%, we mean 30% with inventory stabilized. In other words, there is not a -- the percentage of product that's being sold at market is much less than -- is less than or, in some cases, much less than 50% of product being sold. So we're looking to eliminate the friction or the -- or noise out of the system. So we understand that these are -- this is sales of new inventory. So we're looking for the tail of the clearance, but I won't tell you there's not clearance inventory in some of these 30 reset categories. 
Michael Baker: Sure, fair enough. But if so, is that 30% that's seeing that mid-single-digit lift? 
Robert Hull: Yes. And that's what -- and we're saying is it's on a balanced inventory level. 
Michael Baker: Right. Okay, understood. A couple of other questions. Just thinking about the cadence of comps through the year, you said gross margin should get better through the year as you go through this line review. Should we expect that within your 3.5% guidance the same type of cadence for the comps? 
Robert Hull: I think, Mike, if you take a look at the 2-year comp of 1.4% in 2012 and a 3.5%, it gives you roughly a 5% 2-year comp. I think about that as you model out the 4 quarters. Roughly speaking, that'll be close. 
Michael Baker: Okay, fair enough. One last one. Just -- I understand the SG&A impact of adding more labor. But I guess, theoretically, my view is if you're adding this labor, you expect it to drive a sales benefit such that you leverage the incremental costs. So I'm just trying to understand how that math works I guess. 
Robert Hull: Mike, it's a good question. It's a matter of timing. So as you think about hiring people and training and getting them knowledgeable about the products we sell and the services we offer, they're not productive day one. So it's a timing issue relative to the SG&A spend coming -- in advance of sales associated with those hires. 
Michael Baker: Okay. But in -- so in general though, the idea is that, that program would leverage itself? 
Gregory Bridgeford: As Rick talked to you in our Analyst Conference, so by 2015, we expect to continue to make improvements in sales per hour. 
Operator: Our final question will come from the line of Kate McShane with Citi Research. 
Kate McShane: I wondered if I could go back to the subject of the increase in labor hours, and wondered if you could just walk us through quickly how you came to the decision that this was needed, especially in light of you being through the line reviews and the Value Improvement now for a while. And do you expect -- since you're hiring new employees, do you expect any lag time from seeing a benefit from these employees being on the floor? 
Rick Damron: Kate, this is Rick. I'll take the first part of that and let anyone jump in on the second piece. Two years ago, we launched our weekend teams, which was initiative that we saw as we began to review our transactions on the weekend versus our sales performance. And we felt we had an opportunity, from a labor perspective, to add more labor over that weekend period and really impact our close rate. What we saw was that performance really take hold. We did see our initial hypothesis prove out. And as we continue to look across the week, what we began to see was, from a traffic perspective, a balance through the week and the weekend. But what we began to notice was that the close rate on the weekends improved much greater than the close rates through the week. So with that identification, we looked and we saw that opportunity. As we continue to look at the stores, the next component of that was, and the reason we're going to roughly 2/3 of our stores, is where do we see that opportunity. This was not a one-size-fits-all exercise. We want to make sure that we invested that labor, where we saw the opportunity based upon transactions and based on traffic, to really be able to leverage that to the top line sales benefits. So that's the reason you're seeing us be very selective in the stores in the markets we're putting those hours in where we have that opportunity. As Bob said just a few minutes ago, the labor we expect with any new employee for there to be an acclimation process as they learn Lowe's, as they learn the products, as we get them trained and onboarded. And we expect, as we go throughout the year, for those hours to become much more productive and not be a degradation to our sales-per-hour targets that we've had outlaid in December. 
Robert Niblock: All right. Thanks for your continued interest in Lowe's. We look forward to speaking with you again when we report our first quarter 2013 results on Wednesday, May 22. Have a great day. 
Operator: Ladies and gentlemen, this does conclude today's call. Thank you, all, for joining, and you may now disconnect.